Operator: Thank you for standing by. This is the conference operator. Welcome to the Endeavour Silver Corp, 2019 Third Quarter Financial Results Earnings Conference Call. As a reminder, all participants are in listen-only mode, and the conference is being recorded. After the presentation, there will be an opportunity to ask questions [Operator Instructions]. I would now like to turn the conference over to Galina Meleger, Director, Investor Relations. Please go ahead.
Galina Meleger: Thank you, operator, good morning, everyone. And welcome to the Endeavour Silver 2019 third quarter financial results conference call. With me on the line today we have the Company’s Chief Executive Officer, Bradford Cooke; our Chief Financial Officer, Dan Dickson; and our Chief Operating Officer, Godfrey Walton. Before we get started, I’m required to remind you that certain statements on today's call will contain forward-looking information within the meaning of applicable securities laws. These may include statements regarding Endeavour's anticipated performance in 2019 and future years, including revenue and cost figures, silver and gold production, grades and recoveries and the timing and expenditures required to develop new silver mines in mineralized zones. We do not intend to and do not assume any obligation to update such forward-looking information other than as required by applicable law. On behalf of Endeavour Silver, I’d like to thank you again for joining our call today. And I’ll now turn it over to our CFO, Dan Dickson.
Dan Dickson: Thank you, Galina. And welcome everybody to our third quarter conference call. As usual, we’ll start off with a high-level overview of our third quarter performance and then we’ll open it up for Q&A. Our financial performance was generally lower year-on-year, largely due to our lower production profile operational challenges that we’ve previously highlighted leading to our higher unit costs. Our revenue was down 24% to $28.6 million from the same 8,035 ounces of silver and 9,375 ounces of gold, averaging the sale of $17.52 for silver $14.89 for gold. On a year-to-date basis, our revenue now totals $87.1 million. After quarterly costs of sales of $30.3 million, mine operating earnings amounted to negative $1.7 million from our operations in Mexico, which drove our overall net loss to negative $6.8 million or $0.05 a share for the quarter. If we remove the impacts to non-cash items, we declared an EBITDA of $1 million in Q3. And operational cash flow before working capital changes contributed $2.1 million in Q3. As per our news release this morning, we are now starting to see improvements from the operational challenges we implemented in the second quarter. Following the company’s wide operational review, notwithstanding, the recent progress and the operating performance of the mines, we announced in today’s news release that management does not expect to meet its 2019 production and cost guidance. And we will not be providing guidance for the balance of the year, as we evaluate our alternatives at the El Cubo mine, which includes the possible closure. We do maintained a strong balance sheet and we finished the quarter with a strong working capital position of $49.4 million and a cash position of $22 million. While our cost profile remained high in Q3, we believe we are now turning in the right direction. In comparison to Q2, we are starting to see positive changes in our unit operating costs. Specifically, operating cash costs dropped by 15% since Q2 to $11.51. And the consolidated direct production cost per tonne dropped by 7%. Most of these improvements are attributed to Guanaceví, as Guanaceví has now started to respond and it continues to respond to the development of the two newer high grade ore bodies with Milache and Santa Cruz Sur. We've seen both the tonnes and the grades starting to improve, and the unit costs are starting to decrease quarter-over-quarter from a reduction in the workforce and the overreliance, reduction of overreliance of contractors. As a result, cash costs in Q3 at Guanaceví decreased 26%, all-in sustaining costs in Q3 decreased 15% and direct production costs per tonne decreased 22%. Looking forward, we expect to see further improvements at Guanaceví in Q4 as Santa Cruz Sur starts production and we expect to see almost 200 tonnes to 300 tonnes per day in Q4 from that area. At Bolañitos, Q3 production fell below plan due to lower tonnes and grades. The fatality started the quarter significantly impacted production. Higher all-in sustaining costs [indiscernible] in Q3 from the purchase of new equipment, equipment availability from the old equipment, we're looking to reduce maintenance costs going forward with this new equipment and ultimately improve mine output. We are already averaging over 1,000 tonnes per day in October and expect to get closer to the normalized rate of 1,200 tonnes per day in Q4. At Bolañitos, we made our changes in June-July, so the bulk of the turnaround is expected here in Q4. At El Cubo, El Cubo's been our top performing mine in 2018 and this year, we've been operating in an environment with limited reserves. We announced in Q4 2018 that we're reducing the output in 2019 for 1,500 tonnes per day to 750 tonnes per day to focus on exploration and consolidation opportunities, and then also evaluate the possible closure. This quarter, the grades were lower than planned due to narrow widths and higher dilution at the V-Ascuncion ore body. At El Compas, we declared commercial production at the end of Q1 and we’re seeing continued improvement with grades and recoveries improving in Q3. There's still work to do on the recoveries at Compas, but now we're getting effectively close to plan. We recognize we have problems in Q2 and we made a number of changes, changes in site leadership, the management, reductions in the workforce, new equipment and more to help turnaround our performance. Primarily at Guanaceví and secondarily at the other operations, we're now starting to see those improvements. In terms of growth outlook, our attention has now turned towards Terronera and Parral. Terronera, as a reminder, is proposed to be our next core asset of the company. We published a feasibility study last year that is forecasting over 5 million ounce of annual silver equipment production over 10 years, which secures the future of the company. Since the publication of the 2018 PFS, we've continued to improve the project and we'll be publishing a final update at PFS upon the completion of a bulk sample test that's been completed now on site. The project is development ready and fully permitted, and we're starting now the final stages of securing our project financing that will allow us to start construction. The Parral project is a fast producing asset and is our largest exploration expenditure this year. The project continues to deliver encouraging drill results, and we’re completing 2, 000 tonne bulk sample, which will be processed at a local toll mill to refine metal recoveries this quarter. We're working towards publishing our first PA to evaluate a small scale 200 tonne per day mining and toll milling operation to generate early cash flow and pay for the incentives at Parral. Operator, with that, I'd like to open up to Q&A.
Operator: [Operator Instructions] The first question comes from Heiko Ihle of H.C. Wainwright and Co. Please go ahead.
Marcus Giannini: This is Marcus Giannini calling in for Heiko. He's on the road and couldn't pick the call, but thanks for taking our questions. First question, we're not looking for an overly detailed answer here, but I think it might be worthwhile given the withdrawal of short-term guidance. We went through the longer term cash costs per tonne figures having your MD&As. So thinking longer term, where your investment objectives on a line-by-line basis relative to where they were at the beginning of year?
Dan Dickson: Markus, where our investment expectations, going forward, is that effectively your question?
Marcus Giannini: Yes, essentially.
Dan Dickson: Right now, the biggest question, Marc, for us is El Cubo, and you can see the grades kind of through the year. We've fallen from effectively 183 grams at the beginning of year and fell to about 130 gram silver, and gold was averaging about 1.9 at the beginning of the year and in Q3, we did about 1.3. We continue to see those lower grades here in October. And ultimately, it's a question of meeting a sufficient amount of throughput in 2020 to add economies of scale to make it worthwhile. And El Cubo's actually had negative cash flow for the first time in a long time in Q3. So ultimately, we're currently looking at what we can do for 2020 and quite frankly, it might also include the possible closure of the El Cubo asset just from a reserves and resources standpoint. So the investment [indiscernible] effectively be quite low, which is what we're working through. From Guanacevi and Bolanitos standpoint, where we have long expected mine life, you'd be seeing something similar. So historically, we spend about $10 million at Guanacevi for sustaining capital, and I expect that to continue. At Milache and Santa Cruz Sur are new ore bodies for us. We do have development left to go to get to the bottom of those ore bodies. And then adjacent to historical ore body of ours, called Porvenir Cuatro, we signed a deal with Frisco in the second quarter for adjacent property called El Curso, which we know we have extension on and we've actually been drilling that extension for the last month and half, and we expect to have news out on El Curso's drill results in the coming weeks. So I expect want to be similar, going forward, about $10 million of mine development. We replenished the fleet. It’s a question of when some of that gets delivered. And then at Bolañitos, we continue to have some drill success there. We expect to extend, but this year we're spending about $4 million on mine development, and I think we will spend that again. But we come out with all this information typically in January, mid-January to late January, for guidance for 2020 and we'll be able to give more detail on that at that time.
Marcus Giannini: And then sort of building on that, I guess longer term call it, three to five years outlook. Where do you expect to spend your 2020 focus that may not have been the case, say two to three quarters ago, and again, that might be answered like you said in January?
Dan Dickson: From a three to five years standpoint, it's hard to see changes at Guanacevi or Bolanitos. Ultimately, we hope that our focus is actually on Terronera and ultimately by that time, three to five years, Parral. We've communicated exploration success at Parral. We put out a news release in the third quarter, highlighting that exploration success. So we're very encouraged with where Parral is going. We are putting a PEA together this quarter for Parral and that ultimately the future of the Company is Terronera and Parral. So on a long-term outlook, it's that. And we remain inquisitive in this space. Obviously, prices we feel are still repressed and are getting increased. So our VP of Corp Dev and Bradford Cooke are always inquisitive and we're always looking at things. And we still want to grow the Company and we want there to be a long-term future for Endeavour Silver. So we expect to grow.
Marcus Giannini: And then, lastly on a different note, the payments you make under your royalties are getting quite a bit lower. At what point would it maybe make sense to walk up to the seller and make a lowball offer to buy them back? Is that something considered at all?
Dan Dickson: Well, I would never tell the royalty holder that it's a lowball offer. So we always look at those things. And ultimately, the guys on the other side have to agree to a deal and typically holders of royalties are pretty sophisticated. So whether if we ever have the opportunity to buy back our royalty, it's probably going to be a pretty fair price. We look at those things all the time. It's just a matter if it gets one of those things done is difficult. You need to remember part of our royalty structure is to the Mexican government, a 0.5% on any precious metals that are mined in Mexico. And then ultimately, it's been the vendors of the properties that hold those other royalties.
Operator: The next question comes from Joseph Reagor of ROTH Capital Partners. Please go ahead.
Joseph Reagor: A couple of different things that I wanted to touch on, I guess first one, just a point of clarity on the guidance for the 2019. There was revised guidance which is listed in your MD&A. Are you guys saying the revised guidance won't be met or that you're just confident you won't meet the original guidance?
Dan Dickson: Joseph, to clarify, we revised guidance in July. We don't think we're going to meet the low end of that revised guidance. If you take Q3's production, Guanacevi and Bolanitos both we're behind the plan. We don't expect it to be significantly different, but we do expect it to be better. It's just a question of whether we can get to the bottom end of that guidance. And we think, we'll be about 100,000 ounces of silver equivalent short.
Joseph Reagor: And then, another point of clarity, on El Cubo, the review you're doing to determine if you're potentially going to shut the mine down, can you give us a little bit more color about what the basis of the review is and what the timing of any announcement there might be?
Dan Dickson: Yes, I mean, at the end of the day it's about reserves and resources, and we've seen falling grades for the year. We've already reduced output from 1,500 tonnes down to 750 tonnes per day. And with the falling grades, we actually had negative free cash flow. We did have an exploration program this year. We have extended the vein at Ascuncion, which is the primary ore body where we're mining. Ultimately, those drill holes where we had intersections were narrow. Okay widths, but too narrow to get the tonnage output that we need. There is consolidation opportunity within the area. Fresnillo owns are significantly around us. We do know extensions go across on to their land. However, obviously, we can't rely on any consolidation, because it takes two to tango in that situation. So ultimately, if we're going to stay at these levels of grades, we're not going to able to make money there. And without reserves and resources or primary exploration target, we have to consider shutting down the mine and ultimately there is a couple of steps that is required to that. One is negotiations with the union where we have 250 employees and trying to determine a timeline with the union of when we can shut down and ultimately lay everybody off. We are in discussions always with the union and we're working towards that and we would have a clarity on that, I would say, in the next four to six weeks.
Joseph Reagor: Switching to other mines, El Compas, it seems like the costs on a per tonne basis there, 30-ish percent, 35% above what the original plan was. What can you guys do to get those back down towards, I think, it was like $100 per tonne was kind of the target and it's been in the $130s?
Dan Dickson: Joseph, the target through the PEA was about $110 per ton, and we thought we could beat that. And you're right, we're sitting at about $130 per ton. We are looking at that for 2020. One of the things that we're looking at is actually replacing the contractor with our own equipment and our own people. And that will save about 30% of our mining costs. So, not a full $130 times 30%, but effectively the mining portion of it. And we did have some severance that went through, we kind of ramped up and increased our workforce. We scaled that back at the end of the quarter. So as we hit our output levels, we think we can get closer and closer to that $110 and especially going into 2020.
Joseph Reagor: And then one big-picture question with the Terronera financing kind of on-deck. What do you guys have left on your ATM and what is the current plan there as far as financing and then timeline to production?
Dan Dickson: Yes, the ATM, we used about $10 million of the ATM in the third quarter and there's about $8.6 million remains on that ATM. We haven't had the ATM open for the last two months. Depending on where the market goes, that can open or not open. Obviously, it's helped us protect our balance sheet for 2019. We have that ATM available to us until about the end of the March under our base shelf as this. As far as the financing for Terronera going forward, we are looking at a form of debt anywhere to $60 million to $80 million. We're trying to get finalized here in the next four to six weeks, and then it goes into construction. Construction timeline hasn't significantly changed under the work we've done for the new PFS. Ultimately, we're still looking at about 18 months from when we start. And the first six months of that is just basically earthworks of cutting down a hill, so we can start building the plant. We've got all our permits in place. So it's a question of when we have financing in place and being comfortable to say go.
Operator: The next question comes from Chris Thompson of PI Financial. Please go ahead.
Chris Thompson: A number of my questions have been answered, but I just wanted to just home in on a couple of little things here. Firstly, Guanacevi, where are we right now in that ramp up to 1,200 tonne a day? I mean, obviously, sitting in early November, we've seen October. Where are you right as far as the production rates there?
Dan Dickson: Yes, October came in just under 1,100 tonnes per day for mining. So we've seen partly, maybe the confidence hopefully in my voice a little bit is between Q3 to now, we've seen October have a good month. The other thing that works out well to us that we think going forward is the El Curso property, which is rate adjacent to Porvenir Quattro. So we have a ramp that goes through El Curso. We have a right away access with Frisco to get down to Milache. So we do have a ramp that effectively crosses the El Curso property, and we've got about 10 drill holes into that property that we expect to release later on. And we believe El Curso will allow us the flexibility to make sure we're at 1,200 tonnes per day.
Godfrey Walton: Chris, this is Godfrey, if I can just add to that as well. We've actually now built a stockpile at Guanacevi, which we haven't had for many years. We've had a few maintenance issues with the plant, which is why we haven't hit 1,200 already. But we are very confident that those will be behind us here in another couple of weeks. And so for the balance of Q4, we should be at capacity.
Chris Thompson: Just I guess looking at when you are fully ramped, I guess, as far as Milache and Santa Cruz Sur. What sort of blended grade to the mill are you anticipating?
Dan Dickson: The blended grade to the mill would be about 255 grams silver and 0.661 grams gold, with SCS and Milache blended going through the mill. The big thing that we're going to see when those ramp up is the reduction of the Santa Cruz Sur ore, which has been running lower grade closer to the 200 gram per tonne silver and about 0.5 gram per tonne gold.
Chris Thompson: And then just closing the loop, I guess on Guanacevi unit costs. What do you see as a sort of a nice steady state figure?
Dan Dickson: I've touched on this in the past. If we get to 1,200 tonnes per day, I don't see any reason why we can't get back to the $95 cost per tonne. Obviously, this quarter we are about $118 cost per tonne. We had still averaged lower than 1,000 tonnes per day. Having the new equipment arrived and the reduction that we're going to see in maintenance costs will help us there, but I can -- provided we hit our targets $95 to $100 cost per tonne is still our goal.
Chris Thompson: And then just moving on to Bolanitos, I think that this -- I guess how you handle the high arsenic ore in hand at the moment or is just come as a bit of a surprise to you?
Godfrey Walton: This is Godfrey. We've been up and down on the arsenic. One month we figured we've got it handled, on our next month, we continued to have issues. But it's an area within the different horizons that have all come together, so both in La Luz and in Lucero we're seeing higher arsenic in the actual ore. We do expect to be able to reduce it from where it is now, which is coming in about 1.3% arsenic, back down to the 0.95%, which is what we had anticipated, but we're changing some of the flotation, the concentration ratios to make those adjustments. And so, we're still working on it, but we do feel optimistic that we can get it resolved.
Bradford Cooke: Just to add to that, Chris, we are all coming out of 2019. So every year, we sign agreements with our concentrate buyers. We set kind of the rates and what we're allowed to have effectively from the arsenic level in our concentrates. So once we come out of 2019 and we're in the process now for 2020 of bidding and now signing for concentrate deals next year, which obviously we can build a better range in for ourselves going forward.
Chris Thompson: Just on the mining rates, I mean, you see, you said you're anticipating them, I guess, to revert to historical levels in the Q4 here. Would that be the 1,200 mark?
Bradford Cooke: We're shooting for the 1,200 mark here in Q4, whether we can get there or not. Even getting to 1,100 or 1,000 to 1,100, it's obviously advantageous for us, but 1,200 is still the goal.
Godfrey Walton: We've actually also got a stockpile for the Bolanitos plant as well. And the only issue there is just making adjustments in the flotation circuit for the arsenic and we are optimistic that we'll be at 1,200 in Q4.
Chris Thompson: So you're expecting any, obviously, a reduction in unit costs as you sort of get to that 1,200 mark from the Q3 levels?
Dan Dickson: Yes.
Chris Thompson: And then the final question I guess, and this is the thing I really struggle with, I guess, with Bolanitos, with your grades. I mean, I look at your reserve, resource from the mine and they're significantly higher than what you're delivering right now. How would you -- or can you talk to that, please?
Godfrey Walton: Chris, this is Godfrey again. Yes, a number of areas where we're mining are actually down near the bottom of the routes of both Lucero, Daniela. And those are typically higher gold, but lower silver. And we're also seeing that as well in La Luz, so it just comes down to the areas that we're mining and not having the silver that we had anticipated, but we're doing better with the gold.
Chris Thompson: Right, I mean, if I were to sort of, I'm looking at my model and it looks, I don't know what it used to be quite honest with you, based on your reserves and resources anymore. I mean, can we anticipate, so that's going to be the sort of the plan moving forward?
Godfrey Walton: I think you're going to see more of those kind of numbers going forward, yeah, a little lower silver, just because of where we are in the systems.
Operator: [Operator Instructions] The next question comes from Mark Reichman of Noble Capital Markets. Please go ahead.
Mark Reichman: I just wanted to focus a little bit on the cash costs and all-in sustaining costs. And I know the last quarter you kind of expected the latter half of the year to be kind of in that $10 to $11 range for the full year and then lower than that in the latter half, net of the any byproduct credits. So it seems to me that for some mines, the answer is increasing production. In others, I guess, in the case of El Cubo, it's not to produce. So just looking out, I mean, what are your -- I know you're not giving any guidance, but what are your expectations on getting these costs down, because, I mean, if I look at 2020, you're going to have additional financing costs related to Terronera, cost associated with shutting down El Cubo potentially and even with a modest increase in commodity prices, the cost just aren't competitive.
Dan Dickson: Mark, it's a fair question. Something that, I mean obviously as a management group we look at all the time. The cost profile in the first half of the year then ultimately again here in Q4 is not conducive to moving forward at these prices and we manage the Company at these prices, not what we expect silver prices to go. And obviously for Guanacevi, it has been an level. I mean, it's a mine that's got capacity at the plant to 1,200 tonnes per day and ultimately has the resources from a labor standpoint for 1,200 tonnes per day and we have the reserves and resources there to meet that output. The absolute cost that we're spending that we're spending is In line with what our budgets were, but what we are not hitting is our production targets and some of that has to do with things that we've changed. And I think at the beginning of the year, we've determined this, an over-reliance on contractors. If we weren't hitting targets, we hired contractors to try to make it up and kept those employees that inflated our costs. We've now significantly reduced our contractor levels that Guanacevi and our employee level at Guanacevi, and we've seen tonnes come up, which is great, and which should be reflected in Q4's costs and ultimately in 2020's costs. And if we can get back down to that profile of $95 to $100 per ton, Guanacevi is cash flow positive. From Bolanitos standpoint, it has been cash flow positive until Q3 of this year and we had a small loss from a free cash flow standpoint, but we've been replenishing our mining fleet there to reduce our operating costs, ultimately what we're spending in our lease payments is less than what we're spending to repair equipment that we had on-site and I think just over the last three years in depressed metal prices, like any mine and especially underground vein mine, you started to mine a little bit of capital and that's come home to roost to this year. And ultimately, we've made those changes to ensure that Bolanitos and Guanacevi going forward are cash positive and can contribute to the Company as a whole, rather than being a liability to the Company. I think we will be able to speak more of that when we come out with the 2020 guidance. We are going through all our budgeting process and cost profile for next year and we present that to the Board in early or mid-December. And like I say, we always come out mid-January to it and I mean, it's about delivering on that output to make sure we can meet that cost profile.
Mark Reichman: So the emphasis is really kind of on Guanacevi and Bolanitos, because you did show improvement from the second quarter into the end of the third quarter on a cash cost basis. I guess Bolanitos went the other way on all-in sustaining costs, El Cubo next year I guess that would be kind of a one-time item, but what about El Compas? What are your thoughts on EL Compass?
Dan Dickson: No, El Compas, we touched on a little bit earlier. I think Marcus had a question with regards to costs, and we're about $130 cost per tonne right now and trying to drive that down to $110. I think the reality for Compas, its 1 million silver per ounces a year. So right now, it's not an overly significant asset. We do expect -- we did have positive free cash flow in Q3 about $1.4 million. In 2020, we expect Compas now to be a cash contributor. Obviously, in Q1, we are pre-commercial production and investing the final amounts in to Compas. But for 2020, It will also be a cash contributor and I think Compas is smaller, it's been easier to manage and it's effectively a gold mine and gold prices that we used in the PEA were about 1375 and obviously, gold is closer to 1500 right now, but it hasn't been, for a lack of better term, a problem child. Guanacevi has been a problem for about 2.5 years. And finally, I believe we've cracked that nut. In Bolanitos, we came up with this arsenic issue that's required us to recycle the mine and ultimately allowed us to kind of review everything at the mine and it was determined that our fleet was too old and we need to replace the fleet that will allow us to reduce operating costs and it's managing that stuff and making sure it contributes cash at these prices going forward.
Mark Reichman: Is that $20 delta between the $130 and the $110, is that just purely production?
Dan Dickson: No, at Compas, that's not production. That's cost savings, reducing in the use of contractors and putting our own equipment that will potentially become available.
Operator: This concludes the question-and-answer session. I would now like to turn the conference back over to Mr. Dan Dickson for any closing remarks.
Dan Dickson: Well, thank you everyone for joining our call. I'm glad we're able to have lots of questions. I think Q4 is going to be a positive quarter for us. We do have some drill results coming in the coming weeks and then look forward to providing guidance for 2020 in the New Year. Thanks for your questions. And if anybody has questions, we are available offline and happy to help anytime. Thank you.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.